Johannes Narum: Good morning, ladies and gentlemen, and welcome to Storebrand's Fourth Quarter and Full Year 2025 Results Presentation. As usual, our CEO, Odd Arild Grefstad will present the key highlights, followed by CFO, Kjetil Krokje, who will dive deeper into the numbers. At the end of the presentation, participants in the team's webinar will have a chance to ask questions. Details on how to join the webinar are found on the Investor Relations website. But without further ado, I give the word to our CEO, Odd Arild.
Odd Arild Grefstad: Thank you, Johannes, and good morning, everyone. I am excited to share a strong set of results for the fourth quarter today. Before we jump into further details, I will start with a few reflections on the progress we have made in 2025. 2025 was another year of clear progress and strong performance. We achieved a record high NOK 5.7 billion result. This means we surpassed our target outlined in the Capital Markets Day in 2023 by 14%. We also saw 26% growth in the operational result for the full year. A large share of the operational result came from short-tailed insurance and capital-light savings products. This leads to increased quality of earnings. Return on equity was 16% for the full year, surpassing the target of 14% significantly. 2025 was also a solid year for our Savings customers as they received NOK 147 billion in returns. To enhance customer experience and strengthen scalability, we invest selectively in AI and digital platforms. I'm therefore pleased to see clear progress in this area. One example is our AI-based customer service chat for insurance that recently ranked first in the market. AI-driven customer interaction is key to scalability going forward. In December, we updated the market on our strategic direction and set financial targets for 2028. The organization is now in execution mode with full focus on operational improvements and scalability across business areas. As shown in this graph, Storebrand has delivered solid result growth over the last 3 years. Two factors are important to understand this progress. First, it is a result of a group strategy built for capital-efficient value creation within Savings and Insurance. Our diversified business with strong synergies makes us resilient in various scenarios. Second, the progress is driven by great execution. My 2,600 colleagues bring our priorities to life through an action-oriented culture built on teamwork and shared goals. I want to thank all Storebrand colleagues for your dedication and contribution throughout 2025. Let me now turn to the highlights for the quarter. Storebrand delivered a group profit of NOK 1,515 million in the quarter. The operational result was NOK 1,131 million, up by 61% year-on-year. The underlying operational result is the best ever for the quarter and for the full year. The record high result is driven by significant growth in insurance with premiums up by 20% from the last year, together with increasing profitability. Within Savings, the result development in asset management stands out positively. Cost control remains a key priority, and I'm pleased to see cost development in line with what we outlined for the year. Turning to capital distribution. I'm pleased to confirm a 15% increase in dividends to NOK 5.4 per share. On share buybacks, Storebrand has a long-term ambition to distribute more than NOK 12 billion by the end of 2030. By the end of 2025, NOK 5 billion of this has been completed. Reflecting solid capital and liquidity positions, we aim to conduct NOK 2 billion in share buybacks during 2026. This will be done in 2 tranches of NOK 1 billion with the first one starting today. We keep executing our strategy to grow our capital-light business areas. This strategy is built for Storebrand to take 3 commercial positions. A, to be the leading provider of occupational pension in both Norway and Sweden. B, to be a Nordic powerhouse in asset management. And c, to be a fast-growing challenger in the Norwegian retail market for financial services. We take these positions and unlock growth by using our strategic enablers and group synergies. So let me dive into our progress. Across the group, we can once again report double-digit growth. This is due to both structural growth in the savings business, increased market shares in insurance and banking and supportive markets. Let me start with the first strategic position, being a leading provider of occupational pension in Norway and Sweden. In 2025, we saw double-digit growth in both Unit Linked reserves and corporate insurance premiums. Contributing to this, we captured the largest share of the net customer flow in the individual pension market in 2025. In Sweden, SPP keeps expanding. A highlight in the quarter was the broadening of the distribution agreement with Danske Bank. SPP will be the sole provider of pension services to Danske Bank, an important valuation of SPP's solutions. Our second strategic position is to be a Nordic powerhouse in asset management. Several of our flagship funds performed very well in the quarter, taking performance-related income to NOK 475 million for 2025. Within alternatives, our second Nordic real estate fund has experienced strong investor demand and completed its second close. We are very happy to see that investors value our long-term Nordic strategy. In addition to this, AIP management, where Storebrand has a 60% stake has developed well. With support from existing investors, AIP reached the first close of EUR 2 billion for its newest clean energy fund. The AMU growth is supported by positive net flow over the last years. An important competitive advantage is our group synergies, where the growing pension business provides a steady flow to asset management. Over the past years, external assets have grown faster than captive assets, showing that our offering is competitive in the market. Finally, the third strategic position. Storebrand aims to be a growing challenger in the Norwegian retail market. We are very pleased to have partnered with Santander in the fourth quarter, a leading player in the market for car financing. This further strengthens our capabilities in the car distribution channel and will be an important driver for our growth strategy. Growth in retail insurance was a key highlight. 26% growth in portfolio premiums in 2025 has increased our market share in P&C to almost 8%, and this is up from almost 7% a year before. To sum up, 2025 was a year of clear progress with strong result growth, improved return on equity and increased capital distribution. Johannes, back to you.
Johannes Narum: Thank you, Odd Arild. Now let's take a closer look at the numbers. Kjetil, please go ahead.
Kjetil Krøkje: Thank you, Johannes. Let's start with the key figures for the quarter. The quarterly result of NOK 1.515 billion is 42% better than last year, driven by strong results from insurance and asset management. The operating momentum into 2026 is strong with solid growth, pricing measures flowing through in insurance and record high AUM levels across the business. Storebrand delivered 16% return on equity for the full year and increased underlying earnings per share. If we move to the balance sheet, the solvency margin is reduced by 1 percentage point in the quarter with both higher own funds and capital requirement. This is still a very robust balance sheet that provides resilience if financial markets were to become more volatile. The expected return on our investments in the guaranteed business is well hedged and still 180 basis points above the guaranteed rate. In order to pay dividends and fund share buybacks, we need both solvency and liquidity. As you can see on this slide, we have around NOK 3.7 billion in liquidity as of the start of 2026. With strong remittance from subsidiaries, we will be able to increase ordinary dividends by 15% and execute our share buyback program of NOK 2 billion in 2026. The projected upstreaming of capital secures long-term predictability in our capital distribution in addition to strategic flexibility to support organic growth and accretive bolt-on opportunities that can occur. It's fair to mention that remittance is particularly strong this year, driven by strong results, tax loss carryforward and because of strong upstreaming from the bank due to the implementation of CRR3 for Norwegian banks. This should be considered when forecasting future remittance from subsidiaries and the consequent liquidity position of the holdco. Storebrand provided a remittance outlook at the Capital Markets Day in 2025 that includes further details on expected remittance levels from 2026 onwards. The solvency margin ended at 194%, down from 195% last quarter. Post-tax results contributed positively. This was offset by regulatory factors and accrued dividends in the quarter. The announced buyback program of NOK 2 billion is expected to reduce the solvency ratio with approximately 3% at the Q1 reporting and another 3% in connection with the next tranche. With the current level of solvency, buffers and interest rates, the balance sheet is very robust to fluctuations in the financial markets. Let's go a little deeper into the results line by line at the group level and then turn to the reporting segments. The top line growth for the full year was 13%. The insurance result is up 49%. The increase in insurance is mainly attributed to significantly improved results in the Retail segment, supported by repricing measures and continued volume growth. Operational cost is within our guidance of NOK 6.9 billion, excluding performance-related costs and extraordinary strong sales in P&C. For 2026, we expect to have around NOK 7.3 billion, NOK 7.4 billion in operational cost before currency and performance-related costs. All taken together, this leads to an improvement in the operating results of 2026 for 26%. The financial result is strong, and this leads to a group result of NOK 5.7 billion, NOK 700 million higher than the ambitious targets we announced at the 2023 Capital Markets Day. The tax charge for the quarter was 20%. This is within the normal range. The tax rate was lowered by currency movements and the asymmetry in how tax is calculated on assets and currency derivatives, while higher earnings from the Asset Management segment increased the tax rate. For the full year, the tax charge was 15%. The low tax rate was caused by lower taxes in our Swedish operation and currency movements. Our tax guiding is still 19% to 22%. This table shows the same numbers as on the previous page, but split into the business lines, savings, insurance and guaranteed. Storebrand's front book continues to grow strongly, while the guaranteed back book shows relatively stable results. The segment Other is mainly return on company capital and cost of debt. Let me start with the Savings segment. In Unit Linked, assets under management are growing double digit, fueled by structural market growth. Top line margins are reduced by 4 basis points year-on-year. The bank delivers a weak fourth quarter caused by periodization of loan losses and reduced net interest rate income driven by lower margins on deposits. The bank will implement measures to actively improve the deposit base and continue to cross-sell to improve the income base. The bank delivers an ROE of 10.5% for the full year. Asset Management contributes very well in the quarter with strong performance in active funds and event-driven income from the alternatives business. The business delivers positive net flow and keeps the share of external capital at 54%, while internal capital is also growing strongly. Within insurance, the combined ratio for the last 12 months has fallen to 92%. This is down from 97% last year and 102% the year before. The full year improvement is in line with previous communication. And with implemented measures, we maintain our CMD guiding for a combined ratio at or below 90% for the full year 2028. Despite strong profitability measures to get back to the targeted levels, it's pleasing to see that churn is within normal variation and that the growth in premiums and market shares continues. Zooming in on the quarter, we still see strong growth and result development within retail, whilst we see more moderate results in corporate due to weak disability results in Group Life. However, I'm pleased to see that in the corporate P&C offering, it's continuing to scale at satisfactory profitability levels. In Guaranteed, results are satisfactory. The guaranteed reserves as a percentage of total reserves continue to fall. We deliver improvements to profit sharing in Norway and Sweden, in line with the levels communicated on the CMD in 2023. Over to the Other segment. The company portfolios in the Norwegian and Swedish life insurance companies and the holding company amounted to NOK 28 billion at the end of the quarter. The returns range from 3.1% in the Swedish portfolio to 4.8% in the Norwegian portfolio for the full year. Storebrand is funded by a combination of equity and debt. Interest expenses for the group amounted to NOK 175 million in the quarter, excluding hedging effects. Let me close off the results with a slide that zooms out a little, but represents a story many of you are familiar with. Both savings and insurance, which is the future Storebrand business model and the runoff business in Guaranteed are improving profitability. And the runoff business require less capital as it runs off. This means that we have produced improved cash results while we have spent excess capital to buy back shares. This has led to higher earnings per share and a significantly higher return on equity, a development we aim to continue in the years ahead. In addition, Storebrand has ambitious sustainability targets across the group. I will not go through this in detail now, but you can look forward to a comprehensive reporting in our annual report, which will be published in the middle of March. With the results we present today, we deliver on our 2025 ambitions, and we have excellent momentum in the group to deliver on our newly announced 2028 ambitions. And with that, I will hand it back to you, Johannes.
Johannes Narum: Thank you, Kjetil. We're now happy to take questions from our audience.
Johannes Narum: [Operator Instructions] The first question comes from Hans Rettedal Christiansen in Danske Bank.
Hans Rettedal Christiansen: Congrats on a good end to 2025. And I was just wondering if we could dig a little bit into the results in the Savings segment and in particular, the asset management. And just wondering how much of that result we should kind of extrapolate going forward. Performance fees can obviously vary from quarter-to-quarter, but looking a bit away from that and thinking about the event-driven fees that you're reporting in Q4, I guess, net the Q4 result is up some NOK 100 million, which I guess is also attributable to that. Can you talk a bit about sort of what we should expect from ongoing fundraisings or planned fundraisings for 2026 and the impact of those -- that's the first question. And the second question is on the Unit Linked business, specifically the transfer balance, which looks again like it's sort of trending downwards. Just trying to triangulate your updated fee margin guidance given in the CMD. I'm wondering what sort of front book margins you're seeing now versus back book and when in 2026, you would expect the turn in the transfer balance for that business?
Kjetil Krøkje: Thank you, Hans. Let's start with the Asset Management segment. Around NOK 150 million came from performance-related fees in the fourth quarter. In addition, we had around NOK 70 million in event-driven fees. Of course, looking forward and into 2026, we do expect some both event-driven fees and performance-related fees throughout the year. We have said that for AIP, we have now just closed a EUR 2 billion -- done a the first close of a EUR 2 billion fund, and we expect through the end of 2026 or early '27 to do the final close and do another EUR 1 billion in that fund. So that should affect the event-driven fees also in 2026. On the Unit Linked transfer balance, well, let's first start by saying that this is -- we're still in a structurally growing market. We grow this AUM base by 13% last year. And that being said, this has been a market where the pricing on risk has not been profitable for the last years. We have been very disciplined and priced it to profitability in our books. We have also seen a small part of the portfolio migrates to own pension account. And of course, we are very happy with our market share of 22% throughout 2025 in own pension account, but this is still lower than the around 30% we have in the occupational schemes. So these factors altogether explains the NOK 2 billion roughly transferred out in the fourth quarter. And again, we're not happy with it. It's not something we're pleased with. So we are, of course, working with measures here to make that transfer balance neutral and positive again throughout 2026. And I guess on the margin side as well, we can comment on that, 4 basis points down this year compared to last year. We gave a guidance on the CMD that the margins are expected to be in the 45 to 50 basis points range out in 2028. And I think the development we have seen this quarter points in that direction that we will be in that range when we come 2028.
Johannes Narum: Thank you, Hans. We have a next question from David Barma in Bank of America. Please go ahead, David.
David Barma: Two on the Insurance segment, please. First on Disability, where we've seen a deterioration of the trend in Q4. Can you run us through the measures and price increases you're putting through in that space. And in group life, in particular, are you able to pass everything through in your '26 renewals? And then on the retail part of the business, so Q4 appeared to be a really good quarter for the industry, but you're flagging that you took some reserve release in the period, implying the underlying profitability would have deteriorated a bit more compared to the last quarters. So can you talk about that, please, and how you're pricing compared to the market so far into the year?
Kjetil Krøkje: Yes. No, I can start on that. And when we look at the Insurance segment as a whole, on the retail side, we've been hit by the Storm Amy on one hand, but we've also seen some runoff gains and a little bit lower large losses in the quarter than we normally would expect. On the other hand, we have had a reserve strengthening in the corporate segment that kind of takes it the other -- goes in the other direction. So all in all, the 93% we report in this quarter is a pretty good -- it shows pretty good the temperature on the -- of the underlying business.
Odd Arild Grefstad: And we're very pleased, of course, to meet the target of 90% to 92% with a 92% combined ratio for the full year.
Kjetil Krøkje: And when it comes to disability and pricing, we have sent through high double-digit pricing and based on the customer, quite high price increases now for this year's renewal. It's fair to say that disability is a long-tail business. It's been something we have had not the best results in over some time. So it's a really important focus area for us to be able to price this up at the right level or consider other measures to make sure that this does not -- will be a drag on the results also going forward. So it's an extremely important focus area for us internally at present.
Odd Arild Grefstad: Yes, it's an important focus area for us and for the whole society in Norway with the disability. We see still high disability levels in the society. We have now priced our main portfolio in a way where we have profitability, especially the ones that is linked to our Unit Linked business, we see a healthy development. There is still some smaller portfolio, which we see long tail and need for, as we saw in this quarter, reserve strengthening, but that is minor portfolios altogether. And we work with different measures. We talked about price increases here, but we also have our well concept that we now have given -- delivered to all our 400,000 customers, where we have expertise in-house, medical expertise where we can also be very fast on delivering solutions for people that are in the phase of getting into sick leave or disability. And we see very promising results out of this system and this program.
Johannes Narum: Thank you, David. We have a next question here from Roy Tilley in Arctic Securities. Please go ahead, Roy.
Roy Tilley: So 2 questions from me. Just the first one on insurance. You announced a letter of intent with Knif a couple of weeks ago. Just wondering if you could say anything more about that company and what the plans are and whether or not you see a merger is likely at some point, it's a small one, but still interesting. And then just secondly, I saw some news that you are moving Kron, the customers to the Storebrand platform. And to my understanding, at least initially, it means that the available mutual funds on the platform will drop from around 500 to around 80. So just wondering if you've seen any pushback from customers on that switch or what you're hearing from customers from the group.
Odd Arild Grefstad: Yes. I should start on Knif. First of all, it's very early days, of course, in the development of this relationship. We are looking into that as we speak. But it's very interesting to see. Knif is a company or a system that has a very strong position within the nonprofit sector in Norway and have different financial solutions for the nonprofit sector. As a part of that, also an insurance company that has around 1% point market share within corporate insurance. And around 0.3% market share within retail and premiums around NOK 800 million. And of course, with Storebrand's very strong synergies, especially on capital when it comes to insurance, this is an interesting company for us to also have a cooperation with. And we think also that they have a position within the nonprofit sector that can be broadened and can be a very important element for growth within that sector for Storebrand with a broad overview of our products.
Kjetil Krøkje: And on the move from Kron to the life insurance company, this is only the pension customers that we -- that are moved to the regulatory platform of Storebrand Life Insurance. All interaction will still happen on the Kron platform, so that's important. And all the savings customers in Kron using Kron for mutual funds, et cetera, they will still have the wide fund offering that they have today. And then we are building up a wide fund offering also through the platform in Storebrand Life Insurance. There has been some moves out in connection with the move, but not anything significantly. And we still think that they will have a market-leading both solution with Kron as the platform and with the Storebrand as the actual provider in the back. So, so far, so good.
Odd Arild Grefstad: I think more than 90% of the customers that moves over to Kron, we had 2 solutions now for pension, and we merged that into one solution that is the leading solution we have from the life insurance company and 90% coming for the more fund-based solution will have the same fund selection when they move into Kron. And for the ones that has some special funds that we see that there is not a part of this platform today. We add some funds to cover up for that. And altogether, I think we meet the expectations in this portfolio in a very good way.
Johannes Narum: Thank you, Roy. We have a next question from Farooq Hanif in JPMorgan. Please go ahead, Farooq.
Farooq Hanif: My first question on insurance. Would you be willing to give some sort of guidance on the pathway to less than 90% for 2026. There's always a tension between pricing, profitability measures and your desire to grow share. So can you explain or help us with where you are in that journey in 2026? And then turning to remittances. I mean, you did flag extraordinary remittances in 2025 at your CMD, and you're guiding towards remittances being closer to the net cash result in future years. But when you say closer to, are there any other pockets of surplus capital that might still come through that you could talk about in the remittance ratio in '26.
Kjetil Krøkje: Well, let's start with insurance. We've said that we should be at 90% or below in 2028. And the way we see it is that, that will be a gradual improvement from now and until 2028. And it's also fair to say that insurance business fluctuates a little bit, so there might be some fluctuations around that straight line. So that is kind of the best expectation we have for 2026.
Odd Arild Grefstad: But then again, delivering 92% now for the full year 2025 means that we are very well in line meeting that target.
Kjetil Krøkje: Absolutely. And when it comes to remittance, as you said, it is stronger this year. And one of the reasons for that is both the fact that we are in the last year on nonpayable tax that would, all else equal, reduce remittance with some NOK 0.8 billion next year. And also the fact that this year was changes in the standard model in the bank that released capital as we went over to CRR3. So the main pockets of remittance capacity in this system comes from either earnings or from the capital that are in the life insurance companies. And I think we've given a pretty clear guidance that, that will be NOK 1 billion above the results also for next year. So I think that's the best expectation we can give for now, Farooq.
Farooq Hanif: And if I may just quickly return on insurance. No change, I guess, in your ambition to grow share here at the current pace?
Odd Arild Grefstad: No, I think we feel that we really are a challenger in this market. And with 4 large competitors in the Norwegian market, we really feel that we have a good momentum, a very strong brand name and the opportunity to grow our market share with profitability in this market.
Kjetil Krøkje: And as we have said many times, it has to happen with profitability and with the profitability targets we have set, but it's still a good market to grow in.
Johannes Narum: Thank you, Farooq. We have a next question from Thomas Svendsen in SEB.
Thomas Svendsen: Two questions from me. First, on this agreement with Santander. I guess they have a large market share of car financing in Norway. So what was your value proposition. Why did you win over competition to get this deal? And also, do you see more opportunities, distribution opportunities in the car channel?
Kjetil Krøkje: So I guess on Santander, we have been in dialogue with them for a while. It's obviously both the fact that we are now a larger and more robust P&C setup. So we could be a full partner with Santander in -- together with them, offering good services to the customers. And obviously, it's always a discussion about price. It's a discussion about service levels where we were deemed to be the best partners.
Odd Arild Grefstad: I also want to mention, I had my own meetings with them actually. And what they also tell us is that the Storebrand brand name is an extremely strong brand name, as you know, for insurance, makes it easy for the dealers out there to also use that brand name in connection with car financing.
Kjetil Krøkje: Yes. And when it comes to other opportunities, I think this is a significant one. We're always having our eyes and ears open, and we are exploring some other dialogues, but we will revert to that if something materializes.
Thomas Svendsen: And then the second question on the bank there. So should we expect you to sort of have this loan loss charges or impairment charges every Q4? Or should we expect more equal charging throughout '26.
Kjetil Krøkje: Yes. No, I think when you look at '24, we had more equal charging throughout the year. This year, we were at the same nominal level of loan losses for the full year, but it was back-end loaded. I think going into 2026, I would expect it to be more equal throughout the year.
Johannes Narum: We have a next question from Michele Ballatore in KBW. Please go ahead.
Michele Ballatore: So 2 questions. So the first is going back to Non-Life. If you can maybe explore a little bit more in terms of the pricing trends, both in retail and in corporate, if there is any -- I mean, I guess the claims environment is pretty good. I mean, is there any sign of softening that you see or anticipate for maybe the second half of 2026. So this is the -- as I said, both in retail and corporate. And the second question is about -- I mean, we have seen in the past couple of days, the impact of news about AI in asset management hitting pretty strong on asset managers. So it's debatable if it's a threat or if it's an opportunity. I just wanted to have your view on this.
Kjetil Krøkje: Yes. I can start on the pricing. What we see in insurance, and this is both in retail and corporate is that we've been through a pricing cycle now in the Norwegian market with extremely high inflation, both driven from the currency movements with a weakened NOK and the general value chain disruptions that happened after COVID, leading to high inflation on car parts, building parts and more. In addition, we were hit by higher frequency in the Norwegian market, arguably driven by the large proportion of EVs in the Norwegian car market. So what we have seen that we've gone from years with almost 20% increase in prices at the highest point to a downward trend where over time, we expect the pricing within insurance to go back to a more inflation plus like pricing. We're not there yet, but that is what we expect to happen over time.
Odd Arild Grefstad: And your question on AI, was it the use of AI within asset management or.
Michele Ballatore: No, it was more -- I mean, there is a debate on the market, especially when it comes to asset managers, especially in the past couple of days about is this a competitive force? Or is it an opportunity? Because it looks like from the market reaction, people are worried -- more worried about the, let's say, incumbents.
Kjetil Krøkje: Yes. No, I think you see a couple of examples. You see it in insurance. You saw some trends in Australian insurers with new services going up where you get custom quotes on insurance through AI-based platforms. You've also seen similar things in asset management. That obviously, like I remember earlier, the risk of kind of big tech moving into finance, that is still an ongoing threat that can take many forms. We don't see a lot of it concretely right now, but it's obviously on our strategic radar. And then on the other hand, I think when we work with AI internally, just as Odd Arild mentioned with the Chatbot and more, we see quite interesting opportunities for scaling both customer dialogue kind of directly, but also down in settlement processes and these kind of processes, which are quite labor-intensive today, but where you can scale the business without really adding much new people, but adding new AI-based tool. So it's a little bit on both sides that it's both potentially a threat to some part of the business model, but also a lever where you can drive operational efficiency.
Johannes Narum: Thank you, Michele. We have a follow-up question from Hans in Danske Bank. Please go ahead, Hans.
Hans Rettedal Christiansen: So I just wanted to go back to the Slide #13 on the liquidity bridge that you have and you provided -- you say that you're going to have NOK 5 billion in liquidity by year-end. I think you previously said you want to have somewhere between NOK 3 billion and NOK 4 billion in the holding company at any given time. So you have sort of NOK 1 billion to NOK 2 billion more at year-end. So going back maybe to the previous question on Knif, it's not completely obvious to me exactly what kind of discussions that you're having there is? Is that part of the capital allocation sort of split given the liquidity bridge and sort of what price expectations are there, there? And maybe just linking that to what your liquidity expectation or capital allocation plans are for going into 2027.
Odd Arild Grefstad: Well, let's start on that. First of all, you see we gave the guidance now in our Capital Markets Day, both around, of course, as we have done for a long time, solvency and over capitalization and also targeted levels with a soft closing around that for liquidity. Very pleased now to announce another year with a 15% increase in dividends and also an increase now in share buybacks this year. Then we expect, but it's still to see coming through high remittance and a very strong liquidity positions year-end 2026. That is, of course, both possible to use for -- if we need to support any subsidiaries, if we do a bolt-on M&A as Knif might be one-off, but also another set of flexibility for the Board to make the decisions around capital allocation by year-end 2026. So that is how we view it. We have clear guidance now for what we have said. And then if we have this NOK 5 billion, that gives a good starting point for the discussion with the Board, I think, a year from now.
Hans Rettedal Christiansen: Just to follow up on that, the sort of -- your hope is to acquire Knif at some point throughout the year.
Odd Arild Grefstad: It's very early days. We have started to look at Knif now and have a good relationship with them. We think a combination of insurance company with Storebrand can be a good thing to do. As I said, altogether around NOK 800 million in premiums. That can give you an indication, of course, of the size. And if you know the metrics, also the price for a company like that, but that is where we stand today.
Johannes Narum: Thank you, Hans. We have a follow-up question from Farooq in JPMorgan as well. Please go ahead, Farooq.
Farooq Hanif: I'm aware this is a bit of a silly question I'm going to ask now for an earnings call. But can you talk briefly about what you're doing about this autonomous cars debate and remind us again of your share of car in your retail business versus other lines?
Kjetil Krøkje: Yes. I can start. Well, the facts, I think, is around 8% now in market share on cars in the P&C lines. I think the development we have seen now in Norway is that autonomous cars hasn't really come here yet as this is not regulatory approved. It's probably one of the hardest places to do fully autonomous cars due to the geography and the winters we have here in the North. But obviously, at some point, you will have more driver assistant and maybe also fully autonomous cars going into Norwegian roads. And then there's always the debate on what will that do to claims ratios? Will OEMs take a larger share of the market. I think all we can do is to position ourselves well, both towards the OEMs and towards the end customers and continue to work with both to make sure that we are an important part of the value chain going forward. I don't know, Odd Arild, if you have.
Odd Arild Grefstad: No, that's fine.
Johannes Narum: Thank you, Farooq. It looks like we've covered all the questions. So that wraps up today's presentation. We look forward to seeing you again on the first quarter result presentation on April 29. Thank you for attending, and goodbye.